Operator: Good day, ladies and gentlemen, and welcome to the Nektar Therapeutics’ Q4 2013 Financial Results Conference Call. At this time all participants are in a listen-only mode. Later we’ll conduct a question-and-answer session and instructions will follow at that time. (Operator instructions). As a reminder this conference call may be recorded. I would now like to introduce your host for today’s conference, Jennifer Ruddock, Vice President of Investor Relations. Ma’am, you may begin.
Jennifer Ruddock: Thank you, Samuel. Good afternoon and thank you for joining us. With us today are Howard Robin, our President and CEO; John Nicholson, our Chief Financial Officer; Dr. Robert Medve, our Chief Medical Officer; and Dr. Steve Doberstein, our Chief Scientific Officer. On this call we expect to make forward-looking statements regarding our business, including but not limited to clinical development plans, the timing of future clinical results and potential regulatory filings and commercial launch timing, the economic potential of our collaboration partnerships, the therapeutic and market potential of our drug candidates and those of our partners, our financial guidance for 2014 which includes potential milestone payments, and certain other statements regarding the future of our business. Because forward-looking statements relate to the future they are subject to inherent uncertainties, risks and changes that are difficult to predict and many of which are outside of our control. Important risks and uncertainties are set forth in our quarterly report on Form 10-Q filed with the SEC on November 7 2013. We undertake no obligation to update any forward-looking statement, whether as a result of new information, future developments, or otherwise. A webcast of this call will be available for replay on the Investor Relations page at Nektar’s website at nektar.com. With that I would now like to hand the call over to Howard. Howard?
Howard Robin: Thank you, Jennifer and thanks to everyone for joining us this afternoon. 2014 will be a very important year for Nektar with several key milestones ahead of us for the late stage programs in our pipeline. I’d like to spend today focusing on these programs and outlining our key priorities for this coming year. We ended 2013 in a strong cash position with $262 million in cash and investments which does not include $117 million in net proceeds from our recent financing. Later in the call, John will provide you with our specific financial guidance for this year. As you know, Nektar has five highly valuable late stage programs spanning multiple therapeutic areas that are either filed or in phase 3 clinical testing, four of which are being developed by our pharmaceutical partners, AstraZeneca, Baxter and Bayer. The economics of these partnered programs are significant for Nektar and these programs will provide us with a steady stream of catalysts in 2014 and beyond. As I mentioned earlier, we anticipate several key milestones over the coming year for these late stage pipeline products. First, potential approval and commercial launch of Naloxegol for opioid-induced constipation in the US, EU and Canada which will trigger milestone payments to Nektar of up to $175 million. Second, we expect both phase 3 data and the planned BLA filing in the US for BAX 855 and hemophilia A by our partner Baxter. And third, phase 3 data from the NKTR-102 pivotal study in women with advanced breast cancer is expected by early 2015. In addition, we're finalizing our plans to start the phase 3 program for NKTR 181 around the middle of this year. We believe NKTR 181 can be a transformational product in both the treatment of pain and addressing the current health epidemic of opioid abuse and addiction. So I like to start with a brief update on Naloxegol. As you know, AstraZeneca announced on their recent earnings call that the FDA advisory committee meeting to discuss OIC drug is now being rescheduled. The panel discussion had been tentatively scheduled for March 10 and 11 with the anaesthetic and analgesic drug products advisory committee. We will provide an update on the new dates for the meeting as soon as we have them. AstraZeneca and Nektar are actively working together to prepare for the advisory committee panel discussions on OIC drugs. As you know, AstraZeneca conducted a comprehensive phase 3 program for Naloxegol which included four clinical trials designed to investigate the safety and efficacy of Naloxegol for the treatment of OIC. Two pivotal efficacy studies KODIAC-04 and -05 enrolled a total of more than 1300 patients. These were both 12 week multicenter randomized double-blind placebo-controlled studies that evaluated 12.5 mg and 25 mg doses of Naloxegol administered once daily. The 25 mg dose of Naloxegol achieved statistical significance in both studies for the primary endpoint of responder rate and for all of the key secondary endpoints, including mean time to first post dose laxation, mean number of days per week with at least one bowel movement and importantly responder rate in patients who had a history of inadequate response to one or more laxatives. AstraZeneca also conducted two safety trials KODIAC 08, an open label controlled randomized 52-week long-term safety study of Naloxegol compared to usual care, and KODIAC 07, a 12 week safety extension from one of the efficacy studies. The most common adverse events observed in the phase 3 clinical program were abdominal pain, diarrhea and nausea. This is consistent with what is expected in patients when an opioid impaired bowel begins functioning again. We observed no differences in mean pain scores and no differences in mean opioid usage with Naloxegol compared to placebo, which demonstrated that Naloxegol was not reversing analgesia for patients in the study. Notably no imbalance and serious adverse events including externally adjudicated major cardiovascular or MACE events in the long-term safety studies or in the pooled efficacy studies was observed. Both AstraZeneca and Nektar are highly confident that the data from the KODIAC phase 3 program support the safety and efficacy of Naloxegol for the treatment of opioid induced constipation. OIC is the most common side effect caused by chronic administration of prescription opioid pain medicine. It is estimated that there are about 69 million patients in the major markets being prescribed opioids for chronic pain. At least half of these patients develop OIC and up to 50% of those patients do not get relief from laxatives. There are no approved oral therapies that directly target the underlying receptor-mediated mechanism of OIC. If approved, Naloxegol could be the first oral once-daily medicine to address this significant unmet need. The NDA, MAA, NDS filings for Naloxegol were accepted for filing in the US, EU and Canada respectively. The PDUFA date for Naloxegol is September 16 of this year. As you know we're entitled to substantial milestones upon approval and launch of Naloxegol. Currently AstraZeneca is preparing to launch Naloxegol in Q1 of 2015. We will receive $35 million in 2014, if no significant preapproval cardiovascular safety study is required in the US. Then in early 2015 we will receive $100 million upon commercial launch in the US and $40 million upon commercial launch in Europe. We will also receive significant escalating double-digit royalties on global sales of the products and several sales milestones of up to $375 million in addition to the royalties. One reason that we’re so excited about Naloxegol is that it could be the first oral small molecule drug approved that uses our proprietary polymer conjugate technology platform. Naloxegol is also the first drug using our technology that specifically targets receptors in the periphery by restricting the drug from the CNS. Now moving on to another key partnered program BAX 855 which is our next drug candidate planned for BLA filing later this year. BAX 855 is an extended half-life recombinant factor VIII therapy for hemophilia A, which was designed using the full length ADVATE molecule and Nektar’s proprietary PEGylation technology. The phase 3 PROLONG-ATE study completed enrollment in November with 150 patients. PROLONG-ATE is aimed at assessing the efficacy of BAX 855 and reducing annualized bleed rates in both prophylaxis and on-demand treatment schedules. Baxter has reported that BAX 855 has been well tolerated in the trial so far with no inhibitors or safety issues occurring in the study. Baxter plans to report topline data from the study in the third quarter of this year and they plan to file for US regulatory approval by the end of this year. A pediatric study is also being planned in order to support EU filings and approval in 2016. We're very excited by Baxter’s rapid progress with this program. ADVATE is the gold standard hemophilia therapy with over $2 billion in annual sales and BAX 855 is positioned to provide an important new therapy in the ADVATE franchise for patients with haemophilia. Under our agreement, Nektar will receive significant royalties on net sales as well as remaining development and sales milestones of over $70 million. Now moving on to NKTR 102, our proprietary oncology candidate, which is currently being evaluated in a phase 3 study in metastatic breast cancer. NKTR 102 is a novel topoisomerase 1 inhibitor designed to concentrate in tumor tissue, provide sustained tumor suppression throughout the entire chemotherapy cycle and reduce the peak exposures that are associated with toxicities of standard chemotherapies. Last month we announced that the independent data monitoring committee for the phase 3 BEACON study of NKTR 102 recommended continuation of the trial following a planned interim efficacy analysis of data from the study. The BEACON study enrolled 852 patients with metastatic breast cancer to compare single agent NKTR 102 as the third line or greater therapy to a single agent of physician choice. The interim efficacy analysis conducted by the independent DMC was scheduled to occur at 50% of the patient events in this study needed for the primary endpoint of overall survival. The DMC reviewed both safety and efficacy data and recommended continuation of the study with no modifications. We expect topline survival data from the BEACON study by early 2015 and we plan to submit regulatory filings in both the US and Europe in the second half of 2015. You will recall that NKTR 102 was granted fast-track status for this indication which enables us to request priority review and submit a rolling NDA. If we are successful with the BEACON study, NKTR 102 could emerge as an important new therapeutic option for the 300,000 women with metastatic breast cancer in the US and Europe. Based on highly encouraging data we reported for NKTR 102 as well as the need for novel mechanisms to treat metastatic breast cancer and other tumors, we’ve received strong interest from the medical community. This enthusiasm helped to accelerate our rapid completion and enrollment in the BEACON study and has led to a number of physician sponsored studies as well. At Stanford University, [Dr. Larry Reck and Simon Paul] are conducting a study evaluating NKTR 102 administered as a single agent in Avastin resistance high-grade glioma. The study enrolled 20 patients who had already received the medium of 3 lines of prior therapy for high-grade glioma, including Avastin. The study was designed to show a six week PFS of 25% based upon the performance of other single agents in this population. NKTR 102 exceeded the primary endpoint established for the study with a 55% of patients achieving at least six week progression free survival. As of today there are two patients still receiving NKTR 102 in the study. One patient has been on study for over a year and has received 20 treatment cycles of NKTR 102 and another patient has been on study for over nine months with 11 treatment cycles of NKTR 102. We expect the final data to be presented by the Stanford investigators in a major medical meeting in 2014. We also have two other investigator sponsored studies ongoing for NKTR 102. The first is a phase 2 study in small cell lung cancer with Dr. Alex Adjei at Roswell Park Cancer Institute and the second study is a non-small cell lung cancer study with doctors Langer and Aggarwal at the University of Pennsylvania Abramson Cancer Center. Data from this study are expected in 2015. The investigator community continues to soar [ph] NKTR 102 and we continue to receive proposals for additional investigator sponsored studies as well. Now I would like to move on to discuss our phase 3 plans for NKTR 181. As I said earlier, NKTR 181 has the potential to be a transformational product in the treatment of pain. NKTR 181 is a novel opioid molecule with anti-abuse properties that are inherent to its molecular structure and not a result of a formulation. We're in the process of finalizing the designs for the phase 3 program, including the long-term safety study. These designs will be reviewed by our external experts as well as the FDA. As you know, NKTR 181 received fast-track status from the FDA. The agency gave us very good initial feedback on our proposed phase 3 trial design in late last year. Following discussions with the FDA and our experts on the target patient population and study endpoints, we have designed the first phase 3 study to include approximately 600 patients with osteoarthritis of the knee. Patients will be randomized one to one to either NKTR 181 or placebo. There will be a titration phase in both arms followed by a 12 week treatment period. The agency also agreed that the WOMAC pain subscale is appropriate for evaluation in an OA population and that is acceptable as the primary endpoint for pivotal studies. Importantly WOMAC pain scores are collected at predefined clinic visits in a controlled environment rather than the individual patient diaries completed at home. We’re also building an interim futility analysis into our phase 3 protocol. So once we get through 200 patients which is roughly equivalent to the size of the phase 2 study we plan to conduct the futility analysis and make sure that we’re on the right track with the proper study design before we commit to the full cost of the phase 3 program. We plan to initiate the first phase 3 study around the middle of this year. In our phase 2 study we demonstrated that NKTR 181 can provide patients with effective pain relief with substantially fewer CNS side effects than would be expected with standard opioids. During the titration phase of the phase 2 study, a total of 213 patients achieved an average 40% reduction in pain. Only 3% of the patients in the titration phase were unable to successfully titrate in analgesia with NKTR 181 and only 18% of the patients dropped out during titration because of adverse events, which were mostly reports of constipation. Importantly, nearly all of the patients dropping out for adverse events experienced significant pain relief while on the drug. After titration, patients receiving NKTR 181 continued to show reduction in pain scores during the randomized period of the study. While NKTR 181 clearly provided effective analgesia to patients in the study we did not see the expected rebound in pain scores in patients who received placebo during the 21 treatment days of the randomized period. We believe this uncharacteristic behavior of the placebo arm is due to several key factors which we plan to mitigate in our phase 3 design. The results from our human abuse liability study of NKTR 181 were extremely compelling. Subjects reported substantially lower drug liking scores and significantly reduced feeling high scores with NKTR 181 as compared to oxycodone with p values less than .0001. In the critical period shortly after drug administration, subjects receiving oxycodone reported high scores for both drug liking and feeling high within the first 15 minutes which is exactly what recreational abusers [ph] are seeking opioids. Importantly NKTR 181 was administered as an oral liquid of drug API and water without formulation confirming that its properties are inherent to its molecular design and not the result of formulation technique. Another important assessment of the HAL study was the extent to which NKTR 181 caused sleepiness and all doses of NKTR 181 scores statistically lower on sleepiness when compared to oxycodone. We observed the same low rate of sleepiness in the phase 2 efficacy study in OA patients. These patients also reported very low rates of dizziness. This means that NKTR 181 could provide effective pain relief without interfering with the patient's daily activities and without causing the mental fog that is common with other opioids. So with NKTR 181 we believe that we have a drug that works well as an analgesic and is well tolerated by patients. We've also shown that NKTR 181 is not attractive to recreational drug users because it does not produce the euphoria that they are seeking. As a result, NKTR 181 has the potential to address a major public health issue. We're focused on bringing this important medicine to patients as quickly as possible. If we’re successful in development of NKTR 181 we are confident that we could become the therapy of choice in the $12 billion opioid market for chronic pain. We’re looking forward to getting our final feedback from the FDA on the phase 3 program at the end of phase 2 meeting and starting the first phase 3 study. The newest clinical candidate in our pain portfolio NKTR 171 is a novel sodium channel blocker created using Nektar’s proprietary oral small molecule polymer conjugate technology. NKTR 171 is designed to selectively restrict the molecule’s action to the periphery and thereby avoid the severe sedation found with standard sodium channel blockers that make these agents unsuitable for most patients. This technology approach is similar to what we accomplished with Naloxegol which demonstrates our ability to restrict the drug to the periphery. Current drugs that treat neuropathic pain represent a multi-billion-dollar market today in spite of their limited efficacy and unwanted side effect profiles. If we're successful with NKTR 171 we could provide a highly effective therapeutic option for patients with neuropathic and peripheral pain. In January, we initiated patient dosing in a phase 1 single ascending dose study that will assess pharmacokinetics, tolerability and safety in up to 50 healthy subjects. We expect to have results from this phase 1 trial of NKTR 171 in the second quarter of this year. Finally a quick update on our two anti-infective programs with our partner Bayer. Amikacin Inhale to treat gram-negative pneumonias in ventilated patients and Cipro DPI to treat patients with chronic recurrent lung infections as a result of non-cystic fibrosis bronchiectasis, also known as NCFB. Amikacin inhale is a hospital-based product that is specifically designed to work within a ventilator system in order to target infections in the lung directly with a proven and effective antibiotic. If successful, amikacin inhale could emerge as the preferred treatment for deadly gram-negative pneumonias, which is one of the leading causes of mortality in the ICU. The phase 3 studies are being conducted under an SPA with the FDA and are comparing amikacin inhale given adjunctively with current standard of care antibiotics versus placebo given with current standard of care antibiotics. The studies will be used -– will use a primary endpoint of clinical test of cure. Both trials are on track and are expected to complete in the first half of 2015. We estimate that the market potential for amikacin inhale is over $700 million annually and as a reminder, our economics are significant with a 30% flat royalty in the US and an average 22% royalty in ex-U.S. countries. For Cipro DPI, the phase 3 Respire [ph] trials are ongoing to evaluate Cipro for the improvement of exacerbations in patients with NCFB for a 48 week treatment period. NCFB is estimated to affect more than 200,000 patients in the US and Europe with an estimated market of around $750 million annually. These phase 3 trials are expected to complete in the second half of 2015. Under our agreement, Bayer is responsible for all development costs associated with Cipro DPI and we’re entitled to escalating royalties with an average royalty of approximately 10%. Clearly this year could be a transformational one for Nektar with multiple product candidates advancing to potential approval, regulatory filing and key phase 3 data. With that, I'll turn the call over to John for discussion on financial results and 2014 guidance.
John Nicholson: Thank you, Howard and good afternoon everyone. I will start with a review of Nektar’s 2013 financial results and will then discuss 2014 financial guidance. At the end of 2013, cash and investments were $262 million. Our yearend cash balance includes a $25 million milestone from AstraZeneca for filing Naloxegol in Europe and a $70 million milestone from AstraZeneca for filing of Naloxegol in the US. Our yearend cash balance does not include the $117.2 million in net proceeds from our recent financing. Total revenue in the fourth quarter 2013 was $31.1 million compared to $21.1 million in the fourth quarter of 2012. 2013 total revenue increased to $148.9 million versus 2012 revenue of $81.2 million. In addition to higher product sales in 2013, increased revenue was related to recognition of a number of collaboration milestones. These milestones were a $25 million milestone from AstraZeneca for filing of Naloxegol in EU, a $10 million milestone for the start of phase 3 study for amikacin inhale and an $8 million milestone from a pay collaboration partner. We plan to recognize a $7 million milestone for the US Naloxegol filing in 2014. Total operating costs and expenses in Q4 2013 were $67 million versus $64.5 million in the same quarter a year ago. For the full-year 2013 total operating costs and expenses were $269.1 million as compared to $222.4 million in 2012. The increased total operating costs and expenses was primarily a result of higher R&D expense. For the full year 2013 R&D expense was $190 million as compared to $148.7 million in 2012. Our R&D expense of 2013 increased primarily as a result of the advancement in the clinic of our proprietary pipeline candidates, NKTR 102 and NKTR 181, as well as production of amikacin inhale devices for the start of phase 3. Of the $190 million in R&D expense of 2013, approximately $17 million were non-cash expenses, such as depreciation and stock-based compensation expense. G&A expense was $9.8 million in the fourth quarter 2013 compared to $10.9 million in the fourth quarter of 2012. For the full-year 2013 G&A expense was $40.5 million compared to $41.6 million in 2012. 2013 G&A expense included approximately $10 million of non-cash expenses such as stock-based compensation expense and depreciation. Interest expenses was $18.5 million in 2013. Non-cash interest expense was $22.3 million related to the amortization of UCB's Cimzia and Roche MIRCERA royalties. Now onto our 2014 financial guidance. Revenue for 2014 is expected to be between $190 million and $195 million. 2014 revenue guidance includes the recognition of $70 million milestone payment that I mentioned earlier which we received from AstraZeneca in the fourth quarter of 2013. It also includes the $35 million milestone payment from AstraZeneca really to the FDA confirmation that a significant preapproval CV safety study for Naloxegol will not be required. 2014 revenue guidance also includes approximately $20 million of non-cash royalty revenue from UCB Cimzia and Roche’s MIRCERA. R&D expense of 2014 is anticipated to be between $165 million and $175 million. Our 2014 expense includes the advancement of a number key pipeline programs to clinic including the ongoing NKTR 102 BEACON phase 3 study, initiating the first phase 3 efficacy study of NKTR 181 and preparing for the start of long-term safety study of NKTR 181. Completing the phase 1 clinical development program for NKTR 171 and preparing for the start of the phase 2, commercial manufacturing readiness for amikacin inhale under our agreement with Bayer as well as preparing our next IND candidate this year. 2014 R&D expense includes approximately $16 million of non-cash expenses of depreciation and stock-based compensation. 2014 G&A expense is anticipated to be between $40 million and $42 million. Included in our 2014 G&A expense is approximately $10 million of non-cash items of depreciation and stock-based compensation. For 2014 interest expense will be approximately $19 million and non-cash interest expense related to UCB Cimzia and Roche MIRCERA royalty amortization will be approximately $21 million. We plan to end 2014 with approximately $225 million in cash and investments, resulting [ph] in a net use of cash of approximate $155 million. As Howard said it earlier, AstraZeneca is planning to launch Naloxegol in the first quarter 2015 which would trigger milestones to Nektar of the $100 million for the US launch and $40 million for the European launch. As a result, our 2014 yearend cash balance does not include these launch milestones. With that I will now open the call to questions.
Operator: (Operator Instructions) Our first question comes from Jonathan Aschoff of Brean Capital.
Jonathan Aschoff – Brean Murray, Carret : Howard, I was wondering to what extent if you could describe better for us the FDA [buy-in] [ph] was for everything that went into the design of the 181 study?
Howard Robin: Well, we haven't had our end of phase 2 meeting yet. So that will have to take place. But we did have discussions under Fast-Track status with the Agency, and we wanted to talk to them about some of the observations that we noticed during the Phase 2 study, specifically how we measured drug efficacy, the method of patient pain reporting, whether the FDA would be receptive to changing the methodology going to the WOMAC method, whether we could do a purely one-to-one parallel arm design where we look at placebo and drug from the onset. And those were the types of things we asked them and we worked through with them and they were very receptive to it. My sense is that they recognize the importance of new molecule like a NKTR 181 which clearly addresses a major healthcare crisis in the US. And I think they're very interested in working with us to see this become a success. But we have to have our end of phase 2 meeting and that's where we’ll lock in the actual design of phase 3.
Jonathan Aschoff – Brean Murray, Carret : And even though the FDA had said that this panel was coming and I’ll quote “in the near future”. I mean are you given any reason to think that it would be something that could impact your PDUFA date?
Howard Robin: Well, now you’re talking about NKTR 118 -– so I think - look, the FDA has said to everyone that they are rescheduling – they rescheduled the panel because of scheduling conflicts. I don't see it affecting the PDUFA date; we don't know when they're going to reschedule it. We like to believe it's is in the near future but they haven't told us yet. As soon as we get a date, we will certainly let everybody know. But their point to AstraZeneca was, and to Nektar was that this is a function of scheduling of the people that they would like to attend the panel discussion.
Jonathan Aschoff – Brean Murray, Carret : And I was wondering if you could please comment on the recent Bayer announcement on its Long-acting factor VIII, specifically, what are the differences here between their product 855 and are they ahead of you in filing?
Howard Robin: Well, I am going to let Steve answer some of the technical issues. I think we expect that Baxter will file first because Baxter plans to file in the US this year. So Steve, I would like to let you comment a little further on the differences between the drug?
Steve Doberstein: Sure. Good question. So of course BAX 855 is a full-length version of factor VIII that is based on ADVATE, comes right off the ADVATE manufacturing line and then is conjugated with the PEG that gives it the extended half-life. The Bayer molecule is a truncated version of factor VIII, it’s called B-domain deletion. It also has an amino acid change that was made, it's engineered protein sequence, to allow a site-specific PEGylation to the engineered protein. So it’s quite a different molecule from a protein engineering standpoint. When we look at the results of their release this week, I think that while they were just topline results and I don't want to read too much into them, certainly look very similar to the [inaudible] results that we've seen earlier with the longer periods of administration leading to higher bleed rates. And then as Howard pointed out, when we think about time to NDA filing, of course Baxter is planning to file by the end of this year and Bayer reiterated I believe in their press release that they are going to file in the second half of next year simultaneously in the US and EU and they made some comments about manufacturing stuff that they're doing in anticipation of that filing. So I think we still anticipate that Baxter’s NDA filing – BLA filing that is -– will happen in advance of Bayer’s.
Jonathan Aschoff – Brean Murray, Carret : Thanks for that. And I was wondering just briefly what exactly is next for 102 in glioma?
Howard Robin: Well look, we are going to be publishing data to major medical conference this year. And there is a lot of -– there are certainly a lot of interest from the medical community as well as commercial community in terms of the effectiveness of NKTR 102 in high grade glioma and that results we’ve seen so far are fairly compelling. So there's really not much for me to report now prior to us releasing data to major medical conference. But I think what we've seen in late stage Avastin resistant glioma is very impressive and says a lot about -– it really defines what everyone has said about topoisomerase 1 inhibitors. If you can make a topoisomerase one inhibitor that has a great pharmacokinetic profile and avoid these severe, severe toxicities that are associated with that class of compounds, you probably have a very, very important anticancer drug. And that’s what’s I think we have here.
Operator: Thank you. Our next question comes from Bert Hazlett of Roth Capital.
Robert Hazlett – Roth Capital Partners: Just first on the economics of the 70 million amortization or 70 million from AstraZeneca that you got, will that be amortized over 2014 or is there a specific triggering event that will occur? Could you just clarify that a bit?
John Nicholson: This is John, Bert. Thank you for the question. To answer your question, we would recognize it immediately, basically what it comes down to is that the drug would have to be approved in the US without any pre-cardiovascular studies being done. And AstraZeneca would have to move forward the drug. So we expect to do that this year.
Robert Hazlett – Roth Capital Partners: And then another housekeeping item, I know you said the Baxter milestones for development and sales are $70 million. Have you clarified what the development component of that is for 855?
Howard Robin: I don't believe we've said that publicly yet. So we have to check on that for you. And we can look into that but at this point I don't think we’ve defined the breakout yet. I have to look at what we are allowed to communicate regarding that, sorry.
Robert Hazlett – Roth Capital Partners: And then just a pipeline question on NKTR 214, I think you’ve said previously that the IND for that was still on track, maybe Steve could comment on that program and whether the enthusiasm is still high for that immunologic program, that’d be great?
Steve Doberstein: Yeah, you bet, Bert. We remain really bullish on 214. I have to say that the preclinical data as we continue to expand into different models and use different combinations of other immunotherapies in those models, it really looks quite revolutionary to us. So we just couldn’t be more excited, it continues to hold up to its potential in the preclinical analysis that we’re doing. We’re continuing to work on the CMC aspects of the molecule of course. It’s our first home-grown biologic and we’re quite proud of that, and we want to make sure we get that right. So we are on track. I think you could see that drug hit the market – I am sorry, hit the clinic in 2015. Of course you have to remember that we've got 3 or 4 different small molecule pain related programs that also are advancing towards the clinic. And so that could change the timing one way or the other on 214 but we remain really, really excited about it and of course I think the whole world is excited about cancer immunotherapy as really the emerging way to treat tumors. So we’re excited about it.
Operator: Thank you. Our next question comes from Cory Kasimov of JP Morgan.
Cory Kasimov – JP Morgan: First one is on the significance of the NKTR 102 interim analysis. Could the data monitoring committee have stopped this for futility with its interim look and because they've also recommended for you to upsize the study which I know they didn’t do, but was that an option?
Howard Robin: Yes, the answer to both of those questions was yes. They could have done both of those things. So we don't have access to the data. I mean it’s blinded to us but they certainly could have stopped it for futility and there was no recommendation to change the number of - the timing of events and number of events. So that -– now you know as much as we do.
Cory Kasimov – JP Morgan: And then on 181, if you were to start the phase 3 around midyear based on your enrollment assumptions and such how long do you think it would be before you reach the interim look at 200 patients?
Howard Robin: I think we said we would be at those 200 patients by second quarter 2015. I believe that's about right.
Operator: (Operator Instructions) Our next question comes from Simos Simeonidis of Cowen and Company.
Simos Simeonidis – Cowen and Company: Could you talk about the potential commercial effort behind Naloxegol from AstraZeneca? And also Howard, you said that they are thinking or they are planning for first half of ‘15 or early ’15 launch, if you have an approval in early September they probably wouldn’t be able to launch earlier than 2015?
Howard Robin: Look I think they are doing a great job in getting ready and getting ready to launch the product and they are assembling all the necessary forces to do that. And one of the reasons we selected AstraZeneca for this program and why we wanted to collaborate with them and take them as a partner is because -– remember this is not a G.I. drug, it’s a primary care drug. You have to recognize that patients who take opioids and receive opioids from their primary care physician for osteoarthritis or back pain etc. if they become constipated which many, many of them do as you know, they don't go to a G.I. physician for that constipation, they go back to their primary care physician. So the G.I. market for a drug for an opioid induced constipation drug is extremely small. This is a primary care physician market and that's what I think is one of the great strengths of AstraZeneca and one of the reasons we selected them as a partner. In terms of timing, they are planning for an early 2015 launch. I can't comment -– I can't comment as to the exact timing and how they want to move that forward at this point. I think it's very safe to say that the launch – and they plan to launch it in early 2015 and I'm sure if they can accelerate it, they will.
Simos Simeonidis – Cowen and Company: Again and then in terms of what type of commercial effort do you think they might be putting behind the drug?
Howard Robin: Well I don't – yeah, I don't -– I can't tell you how many sales reps and how much money they're allocating to a launch program and a launch campaign. I know it's a very important drug for them. I know they take it very, very seriously. We have a very effective joint company steering committee and we have discussions with AstraZeneca regularly. I can't comment on the specifics of what they plan to do. But I can tell you that they are an excellent partner and I can tell you that they take this drug very, very seriously. I'm sure they are going to put significant muscle behind it.
Operator: Thank you. And at this time, I am not showing any further questions. I would like to turn the call back to Howard Robin for closing remarks.
Howard Robin: Well, thank you everyone for joining us today. And I want to thank all the employees of Nektar for doing such a great job in getting us to this stage. And we will see many of you at the Cowen, Needham and Roth conferences over the next month. So have a great afternoon or evening everyone. Thank you. Bye, bye.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a wonderful day.